Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Kaman Corporation Q1 2022 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions]. I would now like to turn the call over to your host, Kary Bare. You may begin.
Kary Bare: Good morning. Welcome to Kaman's first quarter 2022 earnings call. Conducting the call today are Ian Walsh, Chairman, President and Chief Executive Officer; and Jamie Coogan, Senior Vice President and Chief Financial Officer. Before we begin, please note that some of the information discussed during today's call will consist of forward-looking statements setting forth our current expectations with respect to the future of our business, the economy and other future events. These include projections of revenue, earnings and other financial items, statements on plans and objectives of the company or its management, statements of future economic performance and assumptions underlying these statements regarding the company and its business. The company's actual results could differ materially from those indicated in any forward-looking statements due to many factors. The most important of which are described in the company's latest filings with the Securities and Exchange Commission, including the company's first quarter 2022 results included on Form 10-Q and the current report on Form 8-K filed yesterday evening together with our earnings release. We also expect to discuss certain financial measures and information that are non-GAAP measures as defined in applicable SEC rules and regulations. Reconciliations to the company's GAAP measures are included in the earnings release filed with yesterday's 8-K. Finally, we posted an earnings call supplement on our website, which provides additional context on our financial performance and our outlook for 2022. You can find this presentation at www.kaman.com/investors/quarterly earnings calls. Now I'd like to turn the call over to Ian Walsh.
Ian Walsh: Thank you, Kary. Good morning, everyone. It's nice to have you all with us today for our first quarter 2022 earnings call. I'll start by providing highlights on the quarter and then share some operational and business updates along with some respective innovations in each segment before passing the call over to Jamie for a more detailed discussion of our financial results. Results for the first quarter were in line with our expectations with lower sales, earnings and EBITDA relative to both last quarter and the first quarter of 2021. This was primarily due to the timing of K-MAX sales and mix of JPF sales. Gross margin for the company increased 120 basis points to 32%, driven by the significant improvement in year-over-year sales and margins for the Engineered Products segment. Overall, we remain on target to meet our guidance for the full year. Our first quarter -- we saw strong demand across the commercial business and general aviation markets, led by meaningful order intake for our bearings, springs and seals contacts products. In fact, sales to Boeing and Airbus were higher for the third quarter in a row, a solid indicator that airline demand is rebounding. These order increases have contributed to a 23% improvement in our backlog for Engineered Products since the beginning of the year. The activity seen in the first quarter is encouraging and gives us confidence in the higher sales and improved margins we anticipate over the balance of the year. One of our strategic pillars is to become the best-in-class of what we do every day as a function of deploying more training and executing against our operations excellence model. I am pleased with the efforts of our highly capable leadership team and workforce to implement the model, which is grounded in rigorous Lean and Six Sigma tools. They have worked to improve many of our value streams inside several of our business units, such as our targets for safety, quality, delivery and cost out while improving our working capital. In fact, we have seen promising progress at one of our structured segment sites, where we have achieved double-digit EBITDA margins for the third quarter in a row. There is still significant progress to be made as we focus on delivering improved performance. Now let me highlight the performance for each of our segments and also share some of their respective innovations that will continue to help us grow organically. Our Engineered Products segment delivered outstanding results with year-over-year sales, adjusted EBITDA and margin growth in the first quarter, driven by our seals, springs and contacts products. This strength in medical and industrial demand is expected to continue in 2022, and we have increasing confidence in incremental recovery in commercial aviation. Our employees continue to provide innovative solutions that push the boundaries of application engineering and material science to meet the needs of our customers.  One such technology in our Engineered Products segment is our miniature bearings for turbo molecular pumps. These highly customized bearings provide superior precision and quality for customers in high-tech industries where ultra-clean environments are required, such as those used in production of semiconductors and solar panels, analysis using laboratory equipment and application of service coatings. They are a superior solution for applications that have challenging aspects such as those with high vacuum, high vibration, limited thermal dissipation or low dry power. Kaman inspires to be the global leader in this highly profitable and specialized market within this decade. We talked last quarter about our proprietary titanium diffuse hardening process, which provides the benefits of titanium alloys, like sending service and improving hardness and durability, and we're characteristics for a wide range of end markets outside of aerospace and defense. Our team continues to make meaningful progress exploring a variety of medical and industrial applications for this technology in markets such as orthopedic surgery, weapon accessories and even Formula 1 racing. Additionally, our ball seal business continues to break internal records relative to their growth and market expansion with their proprietary candid coil springs and seals in applications from the F-35 Joint Strike Fighter to neuromodulation therapies used in the human body. Our Precision Products segment continues to transform, and we pivot to new technologies and markets. Regarding JPF, we expect lower sales and impact from mix over time. We continue to focus on filling our DCS funnel and are pursuing several meaningful opportunities that are expected to increase our backlog and extend the life of the program. As we have said during prior quarters, we anticipate offsetting the reduced volume with organic growth in other areas of our business as well as accretive acquisitions. We have increased our R&D investment within this segment, primarily for air vehicles and are making substantial progress on our autonomous logistics technologies, cargo UAV, unmanned aerial system and K-MAX Titan aerial system. We're working closely with the U.S. government and are pleased with the recent support of $7 million in new funding for our autonomous logistics system as part of the 2022 government funding package. We are on track for a demonstration of a full-scale cargo UAV, unmanned aerial system in the second half of the year. This purpose-built, fully autonomous, medium lift logistics vehicles designed to provide cost-effective cargo hauling and be easily deployed inside the standard Conex box. Our initial addressable market is the U.S. military and special operations commands. And longer term, the vehicle can be used in a wide range of commercial applications such as servicing oil platforms, search and rescue, humanitarian relief and middle mile delivery for logistics companies. We are continuing to seek initial orders for this program through our military customer, and we are evaluating several partnerships with other commercial companies. Our Structures segment continues to focus on strengthening the operating margins and seeking new, more profitable work scope that fits our core capabilities. Results for the quarter were lower than both last quarter and the first quarter of 2021. However, we expect sales and margin to improve over the course of the year. As I mentioned, we have seen positive signs of improvement at one of our sites and believe there is significant opportunity for further enhancement. Our team in Jacksonville, for example, continues to make noble progress on the consolidation from 4 manufacturing plants down to 2, in order to optimize capacity, manufacturing floor space and flow. During the quarter, our Vermont facility expanded their medical imaging program through a new partnership with a major new medical equipment manufacturer and our Wichita facility was recently awarded a prototype contract for sophisticated composite panels to demonstrate our capability for the next-generation satellite communication company. Looking ahead, we feel confident that the commercial aerospace market is rebounding. We are seeing durable demand in key end markets, especially in aviation, medical and industrial, which are expected to benefit our high-margin Engineered Products segment. Precision Products will continue to transform. We are streamlining the organization, improving our processes and advancing new product development efforts in precision manufacturing, sophisticated measuring equipment and fully autonomous flight. Our Structure segment is focused on getting healthier, where we will begin to see the benefits of our operations excellence model. We are enthusiastic for several of our new innovations as we position the company for best-in-class performance. Lastly, we remain disciplined in our approach to M&A and capital allocation. We are in our 52nd consecutive year of dividends. And in April, we announced a new $50 million share repurchase program replacing our prior authorization. Our first priority for this program is to limit future dilution from the issuance of shares under employee stock plan and new compensation structure. We remain focused on making strategic investments and now the optionality for share repurchases, coupled with the continuation of dividends, puts Kaman in a great position to execute on the path that provides highest return for our shareholders. Now I'll turn the call over to Jamie for a more detailed discussion of our financial results.
James Coogan: Thank you, Ian, and good morning, everyone. Today, I would like to discuss our first quarter results for 2022 and provide an update on our outlook for the year. On a consolidated basis, our net sales in the first quarter were $158 million compared to $175 million in the fourth quarter of 2021 and $172 million in the first quarter of 2021. The decline of 7.9% year-over-year was largely due to the timing of K-MAX aircraft sales, lower sales on our AH-1Z and composite blade programs and mix for our JPF program. This was partially offset by increased sales in the commercial and medical markets for our bearings, springs, seals and contacts products. Adjusted EBITDA in the first quarter was $12.2 million or a margin of 7.7%, compared to $23.6 million or a margin of 13.5% in the fourth quarter of 2021. Results were impacted by lower volumes of our bearings sold into military and commercial applications as well as sales mix for our JPF program. For the year-over-year comparison, adjusted EBITDA decreased 29% and margin declined 230 basis points. The decrease resulted from the timing of K-MAX aircraft sales, unfavorable K-MAX blade exchanges and JPF sales mix partially offset by strong sales of our bearings, springs, seals and contacts into the commercial aviation and medical markets. Now I'd like to walk through each of our segments, beginning with Engineered Products. Compared to the fourth quarter, volumes decreased in the first quarter primarily for bearing products serving military and commercial aviation end markets. Adjusted EBITDA for the first quarter was $17.3 million, with a margin of 21.2%. Year-over-year results improved significantly with higher demand in medical and industrial markets. Adjusted EBITDA increased more than 50% and margin increased 520 basis points. Sales and gross profit improved on seals, springs and contacts for aerospace and medical applications and sales were higher for aftermarket parts. This was driven by the impacts of COVID-19 on commercial aerospace end markets primarily in the first half of 2021. The demand for our spring fields and contact as well as for bearing products has improved significantly against the backdrop of the ongoing economic recovery. Looking ahead, we expect continued strength in these markets in 2022. Order intake during the quarter was robust with a backlog increase of 23% since the beginning of the year. The development we are seeing in order rates gives us confidence in the outlook for the full year. Now moving to our Precision Products segment. Compared to the fourth quarter, results decreased in the first quarter due to lower sales and associated gross profit for our JPF and SH2 programs. Adjusted EBITDA for the first quarter was $4.4 million with a margin of 9.3%. Year-over-year results for this segment declined from an adjusted EBITDA of $14.1 million and margin of 23.3% in the first quarter of 2021, primarily due to lower K-MAX sales, unfavorable K-MAX blade exchanges and JPF sales mix. Additionally, we increased R&D spend for new technologies, primarily cargo UAV. As we've discussed on prior calls, we are managing our current JPF pipeline and looking to secure additional DCS orders in the near term. We continue to make progress in R&D efforts with our patented height-of-burst sensors, and we are developing new sensor infusing technologies for our existing family of safe and arm devices. Now moving to our third segment, Structures. Compared to the fourth quarter, results decreased in the first quarter, primarily due to lower sales volume in our AH-1Z program. Adjusted EBITDA for the first quarter was $289,000 with a margin of 1%. Year-over-year results declined from an adjusted EBITDA of $1.2 million and margin of 3%, mostly due to lower sales in our AH-1Z and composite blade programs. This was partially offset by improved volumes and margins in our Rolls-Royce program. We are beginning to see improvements for our Structures segment as our team applies our operations excellence model. Best practices from the process will continue to be applied throughout the organization, and we will identify opportunities for further operational enhancements. Our long-standing aerospace customer relationships with Sikorsky and Boeing are important to us, and we will continue to leverage those as well as utilize our technologies for additional medical imaging solutions in order to drive improvements in the financial performance for this segment. On a consolidated basis, gross margin was 32% for the first quarter, a 120 basis point increase over the first quarter last year. We benefited from higher quarterly profitability for our seals, springs and contacts in our Engineered Products segment, and we will continue to focus on in driving improved performance through lean initiatives and cost reduction efforts. In addition, we were able to pass a certain amount of cost increases as it relates to inflationary pressures and remain mindful of the impact that these will have on us going forward. SG&A increased $1.6 million compared to the first quarter of 2021 to $39.7 million or 25.1% of net sales. As we discussed on prior quarter calls, we continue to manage cost and seek opportunities to increase efficiencies across our organization. Diluted earnings per share were $0.14 for the quarter compared to $0.33 in the fourth quarter of 2021 and $0.29 in the first quarter of 2021. On an adjusted basis, diluted earnings per share were $0.15 compared to $0.48 in the fourth quarter. The decline in quarterly earnings per share from the first quarter of 2021 was primarily within our Precision Products segment with an impact from JPF of $0.17 per share and increased R&D spend for this segment of $0.04 per share. These reductions were partially offset by strong performance from the Engineered Products segment, which resulted in an increase of $0.14 per share. During the quarter, we had cash usage of $1 million. However, over the last 12 months, we've generated free cash flow of $30 million, driven by strong cash collections and improved working capital management as a function of our focus on operations excellence. Now I'd like to discuss our outlook for 2022. As we mentioned on the fourth quarter earnings call, we expect the cadence of earnings to be weighted towards the second half of 2022. Our results for the first quarter were in line with our expectations with lower sales and margin for our K-MAX and JPF programs, partially offset with strong sales into medical and industrial end markets and improving aerospace demand. We are maintaining our guidance for the full year. The strength in the medical industrial markets and increase in orders for our Engineered Products segment give us confidence in our performance for the remainder of the year. With that, I will now turn the call back over to Ian for closing remarks.
Ian Walsh: Thanks, Jamie. Kaman has a solid foundation with a talented leadership team and workforce and a game plan for improving our processes and performance. We will continue to challenge ourselves to achieve greater and reach top quartile performance in the near future. The lower cost basis that we have been targeting will drive significant improvement in margin as we increase sales. Improvement in demand in the medical, industrial and aerospace end markets is promising, and we will take advantage of that opportunity to win more profitable programs and expand our market share. Kaman is a solid strategy and is well positioned to deliver on our priorities. As a reminder of our overarching strategy, we continue to focus on 3 strategic pillars. First, we will grow our business through innovation, accelerating investments in our products, facilities and people. Second, we will continue to be disciplined in our approach to accretive M&A and capital allocation. Third, we will continue driving operations excellence until we are best-in-class. Executing on this strategy will lead us to top quartile financial performance in our segments, all are aimed at improving EBITDA margin, free cash flow conversion and return on invested capital that lead to exceptional shareholder returns. I'd like to thank all of our dedicated and talented employees around the world who are making our vision become a reality in helping each and every one of our customers to achieve greater. With that, I'd like to open the line for questions. Operator, can we have our first question, please?
Operator: [Operator Instructions]. Our first question comes from Steve Barger with KeyBanc Capital.
Steve Barger: Sorry, I jumped on the call a little bit late, so I missed some of the prepared comments. But just wanted to talk about some of the guidance. To hit the midpoint of the revenue guide, you need to average $190 million per quarter for the rest of the year. So do you expect revenue to still ramp sequentially, so you're ending the year above $200 million? Or are you putting up 3 more similar quarters to each other? Just trying to get a sense for how you see the year progressing.
James Coogan: Yes. Steve, we see the year ramping sequentially as we drive sales higher in the back half of the year to be above that $200 million in the back half.
Steve Barger: Would you expect a modest sequential increase into 2Q and then much bigger quarters in the back half? Or what's the magnitude just to kind of level set expectations?
James Coogan: Yes, that's fair to say, Steve, for sure. And again, I just want to remind you that, again, the timing of JPF deliveries over the course of the year will also impact the revenue cadence and earnings cadence as well. But just to kind of keep that in mind as well, okay?
Steve Barger: Yes. And just thinking about the segments, I mean, coming in 13% top line on Engineered is certainly good to see. Do you expect that, that is a strong double-digit revenue contributor through the year?
Ian Walsh: Yes, Steve, I do. We've got a high degree of confidence in the performance so far of that group. We ended the year with record backlogs. It's really focused on execution this year, and they know how to do that. And we continue to really kind of see improvements kind of month-to-month along that. So we do anticipate higher margins there for sure.
James Coogan: And just to add to that, I mean, in the prepared remarks, we talked about backlog for that segment being up 23%. So it's from year-end. So we've seen about a $40 million increase in backlog in Engineered Products, which is higher than what we had initially planned for that business. So order rates are filling in very nicely for that segment over the course of the first quarter, and we're seeing some strong signals in the first part of the second quarter here that, that will continue.
Steve Barger: Yes. And Jamie, when I dialed in, I just heard you talking about the Structure segment. And I think you said that there were tangible signs of improvement or something to that effect. What -- I mean, that didn't necessarily flow through into results this quarter. From a financial standpoint, can you talk about either one of you, just about what you're seeing in Structures that's giving you confidence in sequential improvement?
James Coogan: Yes. I mean, again, we took a number of restructuring efforts at the end of -- in last year, and we continue to take -- those efforts continue to proceed through the first quarter and into the second quarter of this year, which includes a number of items, including facility consolidations and some workforce rightsizing relative to capacity. So therefore, we're better situated. We're seeing those come through again in pockets. And Ian had some commentary in his prepared remarks in his section. I'll pass it over to him to maybe brief you on that real quick.
Ian Walsh: Yes. I think there's 3 kind of categories, if you will, about what we're really looking forward and seeing in the structures side. One is the operational excellence piece. I mean, as I mentioned last year, we really focused our effort on those businesses initially with operations excellence deployment, getting the training up to speed and all the projects aligned that we're now tracking very carefully, and we're seeing a lot of improvement. So for example, we're seeing shifts in metrics, whether it's cycle time reduction of 50%, gross margin improvements, rights to targeted for some businesses, like we mentioned, in a 90% improvement. The second part of it is program management.  We've had programs -- legacy programs that we've restructured and talked to our customers and gotten fixed. And we've won the third party is winning new really more profitable programs. We talked about the satellite program, which is fantastic. We talked about some new medical applications, which is great. And Vermont has had the third quarter of double-digit EBITDA. And that's a business that routinely has performed at that level and higher. So it's really nice to see that recovery for those guys. So that kind of gives us strong confidence in where we're headed with the Structures business, which is to really get those folks healthy. And I've talked about before, the Structures businesses should be in an high single-digit, low double-digit type of performance.
Steve Barger: Yes. Are those programs you just mentioned what you had referenced in the press release last night when you talked about expanding into more profitable complex structured businesses?
Ian Walsh: Absolutely. The other thing, too, we talk about pricing and other things in Structures businesses our longer-term programs and things like that, and it's harder to pass along price. So winning new programs at better margins is outstanding. And that's something that the team has done a really nice job working hard at. And again, I think you're going to see some nice recovery there in the short-term with those businesses.
Operator: Our next question comes from Seth Seifman with JPMorgan.
Seth Seifman: I joined a little bit late, so I apologize if this came up during the discussion. But when we think about the Precision Products business and we think about the environment for global defense spending now, how do you think about the opportunities there on safe and arm? And is that landscape kind of changing at all, specifically with regard to JPF? And is it something that's maybe going to evolve slowly over time or something where it's already something where you're having discussions?
Ian Walsh: Yes. The landscape, as everybody knows, has definitely changed. We're seeing the same demand signals from the defense department on systems that are quote certified, that are at high TRL levels, whether it's stuff in development or existing systems. And in reference to JPF, I think we've had some inquiries and we've made some inquiries just to make sure they understand our capacity and our throughput and ability to respond, it's really hard to predict, quite frankly, if and when and how that will all play out. But we are definitely involved in those communications. And we've made those direct inquiries as well to let them know that we stand ready to support them if needed. And so we'll see what happens.
Seth Seifman: And on the international side?
Ian Walsh: Yes. On the international side as well. I mean it's ironic, I think Putin is becoming the best business development person for the entire Defense Department as well as on the international side. And so -- and let me give you another example, like when you think about what's happening over there, it's not just JPF, we're getting some really nice inquiries. We've already talked to several customers relative to programs that have a Ka-32 helicopter that's no longer supported and looking at where our K-MAX can play a role, not just on the commercial side, but also we've had requests from the Defense Department relative to our K-MAX Titan Autonomous capability. So there are some things in work. I just don't know how they're all going to play out yet.
Seth Seifman: Right. Okay. Okay. Cool. And moving on to Structures and maybe stepping back a little bit from the near term. In order for structures to be kind of what you want it to be, is there a certain scale that, that business has to reach? Or is the current size and the current programs -- program content sufficient?
Ian Walsh: So I'll tell you right now that the capability that we have in our Structures business is not scale dependent. And what I mean by that is, we are more specialized in highly complex structures. And so I can give you examples, whether it's Winglets, it's CH-47 high-tick composites, tight dimensions on refueling proves, it's satellite panels, this is the type of work that we do very well. And depending on the long-term arrangements or period of performance, that's going to drive much higher margin. So it requires more engineering, requires more work, more tolerances. That's what we specialize in. It's not the big standard build-to-print type of composite work that I think the scale matters. And so I think the teams, whether it's their cost structure, which is -- SG&A is very strong and very -- I think, high performance there. It's really about driving those programs in which we've mentioned a few of those and executing against them, which the team is doing.
Seth Seifman: All right. Okay. And then if I could sneak in a last one. It looks like based on the release that the sequential decline in Engineered Products EBITDA was driven largely due to a decline in bearings for military and commercial aero. Boeing and Airbus, it seems like the sales were up. And so the implication is that it was either in commercial or outside of Boeing and Airbus or on the military side. And maybe if you could talk about where that sort of total aerospace bearings, commercial and military, how that migrates through the year since it seems like that's a key driver of profitability.
James Coogan: Yes. No, good question, Seth. And as we dug in a little bit into the details there, it really is around some regional sales -- regional aircraft sales for the bearings technology that came down. We had some larger packages go out in the fourth quarter of last year to support some of the higher volumes we are seeing in regional aircraft at the end of last year. On the military side, I think it's just timing over the course of the year relative to anything else. We did reference the fact again, that backlog for that product is up and order rates are up significantly in a number of areas across that business. So we still feel really good about where that business is going, and we do expect even on the bearing side, that to be a little bit more back half weighted relative to the first half of 2022.
Operator: Our next question comes from Steve Barger with KeyBanc Capital.
Steve Barger: Yes. Do you expect that any of these new structures programs that you talked about will benefit revenue this year? Or in general, how long does it take to recognize revenue once you get an inquiry from, say, a new medical program for some products?
Ian Walsh: Yes, it's a mix. I think some of those opportunities will realize this year because they've been in work, quite frankly, since even last year. Others, like we talked about satellite program that's just coming in now. And if we win the larger program, which we feel very confident we will, that's starting in '23 and beyond.
Steve Barger: Got it. And so I guess, as you think about what you can see in backlog, the new programs coming in, do you expect Structures will be up on a year-over-year basis for revenue for 2022?
Ian Walsh: For this year, yes, we do.
Steve Barger: Okay. So all three segments should be positive.
Ian Walsh: Correct. And that's a great way to think of it.
Steve Barger: And looking at Slide 15, you highlighted these mini bearings for turbo molecular pumps. What is the size of that market opportunity? And who are the -- like is there a lot of competition in that space? Or is this something that's kind of new and being developed?
Ian Walsh: It's been in work with our team and again, what's really nice about this segment, these are miniature very sophisticated complex parts naturally. The development cycle around these is longer. So we've been working with a lot of these customers for several years to develop this technology in certain applications. Addressable market, quite frankly, I don't have it off the top of my head, but it's a fairly substantial market just by the nature of what these pumps do because it crosses medical as well as industrial. And again, the sophistication, the size, the miniaturization of it is really what we specialize in. So the team is very excited about this potential opportunity with the turbo molecular pumps.
Steve Barger: Understood. And Jamie, I think you said there was $1 million use of cash this year, but your guidance is $40 million to $50 million. And I know that you've talked about buying stock to offset share creep, but is there a view right now around capital allocation as it relates to buyback versus -- and maybe you talked about this in the prepared remarks, but where are we kind of in the M&A pipeline cycle?
James Coogan: Yes. So as it relates to capital allocation, again, we're going to -- we are still focused on organic growth, right? So making investments in the base business to drive organic growth. We are focused as well on accretive M&A transactions and we're going to continue to support the dividend. And again, the share repurchase authorization really is designed to offset share creep relative to the plans, right? You may recall, we did revamp our executive compensation structure recently to make it equity-based and better aligned with the long-term views of the shareholders, which inherently also increase the number of shares that we issue under that plan. Given the cadence of shares, we aren't expecting to make a material amount of purchases, I would say, this year. We had done a number of purchases under our prior program that put us in a good position relative to some of the initial awards underneath those plans. But we would expect that going forward to be able to offset that using the authorization we received from the Board.
Steve Barger: Got it. And just circling back to the M&A side of things. Like has the pipeline increased or diminished? Have you seen books come across your desk that were interesting, but you just couldn't get across the finish line. It's been a focus for a long time. Obviously, we haven't seen any activity. So what's -- any more color you can give on how that process is unfolding?
Ian Walsh: The process is the same. I'll start by saying when we got together, certainly when I joined, we really took a hard look at our criteria, and we revamped that and shared that with the Board, and they were very excited about kind of how we're really targeting certain things. The activity last year was decent. Multiples were high as we talked about. But -- and it kind of slowed down at the end of last year. And what we're seeing now is more increased activity, more SIMs and SIPs come across our desk, and we're evaluating those, and we'll keep you guys posted as things unfold.
Operator: [Operator Instructions]. And I'm not showing any further questions at this time, I'd like to turn the call back to Kary Bare for any closing remarks.
Kary Bare: Thank you, and thank you all for joining the call today. We will be having our call for the third quarter later -- or sorry, for the second quarter, later this summer, and we look forward to talking with you then. Consider the meeting adjourned.
Operator: Ladies and gentlemen, this does conclude today's presentation. You may now disconnect, and have a wonderful day.